Operator: Good day and welcome to the NMI Holdings, Inc. First Quarter 2021 Earnings Conference Call. [Operator Instructions] And I’d like to turn the conference over to your host, Mr. John Swenson. Please go ahead, sir.
John Swenson: Thank you, Angela. Good afternoon and welcome to our 2021 First Quarter Conference call for National MI. I’m John Swenson, Vice President of Investor Relations and Treasury. Joining us on the call today are Brad Shuster, Executive Chairman, Claudia Merkle, CEO, Adam Pollitzer, our Chief Financial Officer, and Julie Norberg, our Controller. Financial results for the quarter were released after the close today. The press release may be accessed on NMI’s website located at nationalmi.com under the Investors tab. During the course of this call, we may make comments about our expectations for the future. Actual results could differ materially from those contained in these forward-looking statements. Additional information about the factors that could cause actual results or trends to differ materially from those discussed on the call can be found on our website or through our regulatory filings with the SEC. If and to the extent the company makes forward-looking statements, we do not undertake any obligation to update those statements in the future in light of subsequent developments. Further, no one should rely on the fact that the guidance of such statements is current at any time other than the time of this call. Also note that on this call we will refer to certain non-GAAP measures. In today’s press release and on our website, we provided a reconciliation of these measures to the most comparable measures under GAAP. Now, I’ll turn the call over to Brad.
Brad Shuster: Thank you, John. And good afternoon, everyone. I’m pleased to report that in the first quarter National MI delivered strong financial performance, record NIW volume, and significant growth in our insured portfolio. As we talk today, I’m greatly encouraged. The stress of the COVID pandemic has begun to recede with the rollout of the nationwide vaccination effort. The economic environment has stabilized with stimulus funding and the broad resumption of personal and business activity, spurring job creation and growth. And the housing market has continued to demonstrate remarkable resiliency and foundational strength. Against this backdrop, we achieved a record $26.4 billion of NIW and ended the quarter with $123.8 billion of high-quality insurance in force. We are helping more borrowers than ever before gain access to housing. Credit performance in our in-force portfolio continues to trend in a favorable direction. And we are increasingly optimistic as we look forward given the quality of our underlying book, sustained resiliency of the housing market, and strengthening macro environment. Mortgage note rates have increased after touching an all-time low in January. And while the move higher has garnered significant attention and shifts the refinancing opportunity for certain homeowners, current rates are stable at approximately 3% nationally and remain highly constructive for our core purchase borrower. The movement in rates also holds the prospect of slowing the pace of turnover in our existing portfolio, allowing us to retain the high-quality business that we have worked hard to originate for a longer period of time. Shifting to Washington matters. We applaud the continued effort to assist those borrowers who are still impacted by the COVID crisis. The recent extension by the GSEs of their forbearance timeline and the changes proposed by the CFPB to the foreclosure process are important additional steps. The recovery from the pandemic, while broadly accelerating, will not be even, and as the immediacy of the crisis recedes there will still be many in need of support. We believe policymakers, regulators, and others in Washington are committed to providing additional assistance to help as many borrowers as possible remain in their homes and resume their lives with limited interruption once the pandemic has passed. More broadly, the Biden administration and new congressional leadership have signaled their focus on the housing market as an early priority. Expanding access to home ownership and all the benefits it provides, a safe environment in which to shelter, an ability to establish a community identity, and an equitable opportunity for long-term wealth creation in a manner that appropriately guards against systemic risk, is critically important. And we believe there is continued recognition in Washington of the value that National MI and the broader private mortgage insurance industry bring to this effort, providing borrowers with down payment support and equal access to mortgage credit while also placing private capital in front of the taxpayer to absorb risk and loss in a downturn. Overall, we had a terrific quarter and are well positioned to continue helping borrowers and delivering on the goals that we set for our business. With that, let me turn it over to Claudia.
Claudia Merkle: Thank you, Brad. The strong performance of our team and business continued in the first quarter. We delivered record NIW volume, achieved significant growth in our high-quality insured portfolio, and reported strong bottom line profitability and returns. GAAP net income was $52.9 million or $0.61 per diluted share and adjusted net income was $53.4 million or $0.62 per diluted share. GAAP return on equity was 15.4% for the quarter and adjusted ROE was 15. 5%. The private mortgage insurance market remains highly constructive from a risk, pricing, and demand perspective. And we were able to help lenders and deliver valuable solutions for borrowers at a record pace in the first quarter. We generated record NIW of $26.4 billion, up 33% from the fourth quarter and 134% compared to the first quarter of 2020. Our NIW growth in the quarter was all organic. We remain focused on helping all lenders equally and supporting borrowers on consistent terms across the market. In the first quarter, we activated 24 new lenders. We are now doing business with a broadly diverse group of more than 1,200 high-quality originators, including 179 of the top 200 lenders nationwide. We have been consistent in our approach to the market, leading with a consultative sales engagement and clear value proposition of certainty of coverage and differentiated service. We also found new and innovative ways to engage with lenders and to deepen our customer relationships as the COVID crisis developed. Our customer success, tallied over the last several years, helped fuel our record volume in the quarter and allowed us to achieve strong growth while maintaining our strict focus on credit discipline and risk-adjusted returns. Additionally, the broad push towards technology and digitization across the origination landscape has provided us with an accelerated ability to ramp our NIW volume once we have activated an account and quickly scale our new customer relationships. While we achieved record NIW volume in the first quarter and enjoy continued momentum through April, we have seen an early impact from rising interest rates in our flow of refinancing applications, which is a precursor to NIW volume. Notwithstanding the shift in refinancing activity, our outlook is positive. Long-term demographic trends support robust purchase demand. The experience of the pandemic has reinforced the value of home ownership, and credit discipline remains paramount throughout the mortgage market. Our team is engaged and working hard every day. Our lender activation pipeline is healthy. Our strategy to differentiate with customers while maintaining credit discipline and a balanced focus on risk-adjusted returns is working. And we expect to grow our insured portfolio, responsibly deploy capital, and drive value with consistency over time. With that, I’ll turn it over to Adam.
Adam Pollitzer: Thank you, Claudia. We delivered strong financial results in the first quarter, driven by our record NIW volume, strong growth in our insured portfolio, and continued resiliency in our credit performance. Net premiums earned were $105.9 million, adjusted net income was $53.4 million or $0.62 per diluted share, and adjusted return on equity was 15.5%. Total NIW of $26.4 billion included $23.8 billion of monthly production. Purchase originations accounted for 68% of our volume in the quarter. Primary insurance in force was $123.8 billion, up 11% from $111.3 billion at the end of the fourth quarter and up 26% compared to the first quarter of 2020. 12-month persistency in our primary portfolio was 52%, down from 56% in the fourth quarter, primarily reflecting refinancing activity from borrowers who locked prior to the recent increase in mortgage note rates. We expect persistency will begin to rebound in the second half as refinancing activity slows and the record volume of business that we’ve written at exceptionally low interest rates over the last 12 months stays on our books for an extended period. While refinancing volume, as Claudia noted, may be impacted in future periods due to rising rates, we expect improving persistency will provide a balance, helping to absorb the impact of any potential change in volume. Improving persistency is particularly valuable as a portion of our existing insured portfolio was originated in a higher premium rate environment. And the extension of our monthly policies provides us with a continued flow of premium revenue without the contribution of additional acquisition costs. In-force business will also, all else equal, generally perform better as a claims matter given the benefit of seasoning. Net premiums earned in the first quarter were $105.9 million, up 5% compared to $100.7 million in the fourth quarter. We earned $9.9 million from the cancellation of single-premium policies compared to $11.7 million in the fourth quarter. Reported yield for the quarter was 36 basis points compared to 37 basis points in the fourth quarter, primarily reflecting the decreased contribution from cancellation earnings during the period. Investment income was $8.8 million in the first quarter compared to $8.4 million in the fourth quarter. Underwriting and operating expenses were $34.1 million compared to $35 million in the fourth quarter. Expenses in the first quarter included $378,000 of costs incurred in connection with our most recent ILN offering in April. We expect an additional $1.8 million of ILN issuance costs to come through in the second quarter related to the transaction. Excluding ILN-related costs, adjusted underwriting and operating expenses were $33.7 million compared to $33.3 million in the fourth quarter. Our GAAP expense ratio was 32.2% compared to 34.7% in the fourth quarter. And our adjusted expense ratio was 31.8% compared to 33% last quarter. We had 11,090 defaults in our primary portfolio at March 31st compared to 12,209 at December 31st, and our default rate declined to 2.5% during the period. At quarter end, 14,805 or 3.4% of the loans we insured in our primary portfolio were enrolled in a forbearance program, including 9,988 of the loans in our default population. Our credit performance continues to trend in an encouraging direction with an increasing number of impacted borrowers curing their delinquencies and fewer new defaults emerging as the stress of the COVID crisis recedes. At April 30, our default population declined to 10,060 and our default rate fell to 2.2%. Of note, the number of loans in our portfolio that have missed at least one payment but not progressed into default status, an important leading indicator of our near-term credit performance, is at its lowest level since last March and nearly back to pre-pandemic levels. Looking forward, we’re optimistic that we will see continued improvement in our credit performance as the strength of the housing market carries forward, the broader economy recovers at an accelerating pace, and the nationwide vaccination effort allows for the broad resumption of personal and business activity. Claims expense was five million in the first quarter and our loss ratio, defined as claims expense divided by net premiums earned, was 4.7%. We re-evaluate the assumptions underpinning our reserve analysis every quarter and as we progress through the remainder of the year, we’ll consider, among other factors, the performance of our existing borrowers, the availability of additional support for those still in need at the end of their forbearance period. We have additional support for those still in need at the end of their forbearance period. And the underlying resiliency of the housing market and path of house price appreciation to determine whether further changes to our claims reserve are necessary. Interest expense in the quarter was $7.9 million. And we recorded a $205,000 loss from the change in the fair value of our warrant liability during the period. Gavin that income for the quarter was $52.9 million, or $0.61 per diluted share. Adjusted net income, which exploits periodic transaction costs, sworn fair value changes, and net realized investment gains and losses was $53.4 million, or $0.62 per diluted share. The island that we closed last week, our sixth [indiscernible] offering, builds upon our previous success and the risk transfer markets, and extends our comprehensive re-insurance coverage across our most recent production. The $367 million dollar deal is our largest to date and provides coverage on risk originated primarily between October 1 of 2020 and March 31 of this year from a 1.85% attachment point up to a 6.75% maximum detachment. The transaction carries an estimated 3% weighted average lifetime pre-tax cost of capital. The attachment point on the deal akin to a deductible is tied with the lowest we’ve ever achieved. And the estimated lifetime cost of the transaction is close to the tightest levels of any of our pre-COVID offerings. Total cash and investments were $1.9 billion at quarter end, including $78 million of cash and investments at the holding company. Shareholders’ equity at the end of the first quarter was $1.4 billion, equal to $16.13 per share up 14% compared to the first quarter of 2020. We have $400 million of outstanding senior notes, and our $110 million dollar revolving credit facility remains undrawn and fully available. At quarter end, we reported total available assets under premiers of $1.8 billion, and risk-based required assets of $1.3 billion. Excess available assets were $549 million. The ILN issuance that we closed in April is not included in these figures as it was completed after quarter end, the $367 million offering will further bolster our excess position and provide even more funding runway for future periods. Overall, we delivered strong results for the quarter with record new business production, strong growth in our in short portfolio, and encouraging credit performance, driving significant profitability and a strong mid-teens return. With that, let me turn it back to Claudia.
Claudia Merkle: Thanks Adam. Our performance in the first quarter with record NIW volume and primary insurance in force, significant profitability and a strong mid-teens return builds upon the strength and resiliency we’ve demonstrated through the duration of the COVID crisis and stands out in a dramatic way. We’re optimistic as we look forward with the stress of the COVID pandemic beginning to recede, the outlook for the economy improving sharply, and the housing market continuing to strengthen. Against this broadly improving backdrop we believe we are well positioned to continue to win with customers, drive growth in our high-quality insurance portfolio, maintain the right risk return balance, and deliver strong results for our shareholders. Thank you for joining us today. I’ll now ask the operator to come back on so we can take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Mark DeVries, Barclays.
Mark DeVries: Yes. Adam, as you point out, your premier’s access continues to build in this probably well above any kind of cushion, you feel like you need longer term. Can you just talk about updated thoughts on how that gets deployed over time, whether it’s into the business or return to shareholders?
Adam Pollitzer: Yes, sure Mark I’m happy to. I think it’s worth perhaps clarifying one piece. The dollar size of our premier’s cushion is obviously quite significant at $549 million at March 31, but as a ratio, that’s approximately 44%. Our long-term goal is to operate with roughly a 35% cushion above our minimum required amount and when we’re writing as much business, as much high quality business as we did at record levels in the first quarter, we’re continuing to consume the organic capital that we generate and then have additional needs. And so as we look forward, we would like to get to a point of increased efficiency from a premier’s access standpoint. But right now, the way we get there is by investing in our core business. Writing business that’s expected to generate a strong mid-teens return and really doing what we’ve proven to do best, which is deploying that capital responsibly in the MI market.
Mark DeVries: Okay got it. And then any updates you can provide us on just the latest pricing trends we’re seeing across the industry?
Claudia Merkle: Yes, sure Mark. I mean what we see is the pricing environment remains constructive and importantly, the unit economics and the expected returns on the new business continue to be very attractive. So overall we see a very constructive environment in the market.
Mark DeVries: Okay. No additional pressure from competitors looking at the loss expectations and realizing things aren’t as bad as they might have thought in the summer?
Claudia Merkle: No I mean, look it’s a competitive market, but nothing that stands out. It remains constructive. It remains also, I think all the MI companies, we all find our place in the risk. I mean risk isn’t static and we all have different lenders that we’re working with, but overall we feel it’s a constructive environment.
Operator: Next question is from the line of Doug Harter with Credit Suisse.
Josh Bolton: Hey, good afternoon this is Josh Bolton on for Doug. First, any more color of thoughts you can give us around the drivers of the premium yield decline during the quarter, and where you expect that yield to trend over the coming quarters. And then secondly, it looks like the company gained from our math, gained a decent amount of market share in the quarter. Curious if you have any thoughts behind what drove that and how sustainable that is.
Adam Pollitzer: Sure I’ll take the premium yield question and then Claudia will give you a perspective on the share piece and the volume in the quarter. Our net yields in the quarter was 36 basis points compared to 37 basis points in Q4 and the move largely traces to a define in the contribution from our cancellation earnings, which were $9.9 million in Q1 compared to $11.7 million in Q4. That shift paired with the growth in our insurance in force, right, because it’s a ratio, so a decline in the contribution of cancellation earnings as a dollar amount, plus the growth in the denominator in the form of insurance in force cost us one basis point of yield in the quarter. In terms of guidance through the remainder of ‘21, we’re not going to provide anything explicit, but the one item I would note is that we will see the cost of our most recent ILN begin to come through in the second quarter.
Claudia Merkle: And Josh regarding a question on the drivers, it was just a terrific quarter. We’re really proud of the team and proud of what we achieved. We’ve been working on this for a long time, for close to 10 years now. Building our business and our lender base and putting ourselves in a strong position to succeed. That hard work comes through in this quarter. In terms of specific drivers beyond the decade of heavy lifting to build the company, I find two things. First, the digital evolution that we’ve seen and I’ve seen accelerate as a result of COVID has allowed us a significant boost. Digital engagement with lenders matters more than ever before. And while relationships are still highly critical, the adoption of MI comparison tools by the lenders is driving a shift, a shift towards ratable distribution in our industry. And when you pair that with all the hard work we’ve done to build our lender basis it’s all clicking and it’s driving our record NIW. And I also note we chose to prudently layer a modest amount of incremental risk into the portfolio, our risk appetite isn’t static. And this is an environment where we felt we can layer on additional flow in NIW, and still maintain the full integrity of our high quality portfolio. But overall it was just a terrific quarter and Josh as it relates to sustainability, what we’re most focused on is serving our customers in their bars, deploying capital responsibly, and in a manner that allows us to generate strong risk adjusted returns. Things will always shift quarter over quarter, but we don’t have any reason to anticipate significant fluctuations. I just note with that said, the refi cycle is slowing, and there are even some headwinds in the purchase market because of housing availability.
Operator: Your next question is from the line of Bose George with KBW.
Bose George: First I wanted to ask about expenses [indiscernible] and what to expect there, with down this quarter, despite this strong NIW.
Adam Pollitzer: Yes, obviously we’re pleased right. Our focus has always been on efficiency and that remains the case today. So adjusted operating expenses of $33.7 million in the first quarter is a good result, particularly given the scale of our growth and performance on the bill side of the business. In terms of a progression through the year, we expect a modest increase from our Q1 operating expenses, as we do continue to invest in growth with some variability tied to the pace of reopening broadly and what that means for our TNE spend, certain performance related costs, as well as the rate of turnover in our in force portfolio. I mentioned in the fourth quarter and it continues to come through, that with advancing turnover comes an impact on our DAC recognition. So all of those will be items that may cause some fluctuation, but net we expect a modest increase as we progressed through the year from the Q1 level.
Bose George: So next, I just want to go back to the NIW discussion and the sustainability. I mean just looking at the companies that have reported, it looks like your market share moved in line with the industry, with the peers. And do you feel that’s a level where kind of maintain sustainability of that? If you could just discuss that because it looks like there was just a meaningful shift this quarter.
Claudia Merkle: Sure, yes we’re not focused on market share, but we are proud of our ability to deliver such strong growth in our NIW volume into this insured portfolio. We’ll obviously be able to measure market share after everyone reports, but we do expect that we’ve gained some ground in the quarter. And like I mentioned before, this is years in the making, but we certainly did have a what I would call almost a force multiplier when you think about the digital side of the business. And we did layer in a slight amount of risk into the business, but it’s a lot of years of hard work. We feel really good about what we’ve achieved.
Adam Pollitzer: So we obviously are always building towards things in a sustainable way, which is why Claudia in her prepared remarks mentioned that this is all organic, because it was. And organic obviously provides us with greater conviction about our ability to maintain the success and the increase that we’ve achieved. But, and I tell you volume is going to fluctuate. It naturally does, it moves from period to period, besides the market itself is going to fluctuate. Our success with customers in any given period will naturally evolve. And our risk appetite is not going to be static. And as we think about it, obviously putting on high quality, high return, high expected return business is critically important, but most important over the long-term is that we continue to build our insurance in force because it’s our insurance in force that’s driving both our current period and long-term financial results, not just for NIW in any given period.
Operator: Okay next question is from the line of Arren Cyganovich with Citi.
Arren Cyganovich: Claudia, I was hoping you could maybe just expand a little bit about what you mean with digital engagement with the lenders. Are there specific actions that you’ve taken this past quarter, or is this something you’re saying has been an ongoing process you’ve been doing for several years.
Claudia Merkle: Sure, Arren. The digitization of the mortgage market overall, and then the adoption of technology for our lenders. It’s been a focus that we’ve actually looked at for a long time now. And it touches a huge number of different parts of the mortgage origination and closing process. In terms of what it means for our engagement with lenders and why it’s such a strong catalyst for our growth, I know two things. One is it amplifies our visibility in the market. It’s now less about being directly in front of a loan officer, processor, or an underwriter, that in the gave us hundreds of touch points per day. It’s now about being active with the lender, visible on their platform. And it immediately provides us with tens of thousands of touch points per day. So it’s really substantial. The other thing is the digital market breaks down old habits for the lenders. For that loan officer, processor, underwriter may have been historically skewed towards their longer tenured MI relationship, that has really shifted that dynamic. No longer does it, you have a habit just to go to one of the longer-term at my company. So it’s been a significant transformation for us and for the industry.
Arren Cyganovich: That’s very helpful. And then just on the persistency, it was mentioned that it’s going to improve in the second half of the year. Do you view this as being more of a step function in the third quarter, or will it be a little bit more gradual as we think about that?
Adam Pollitzer: Yes it’s going to be a bit more gradual. We expect that it will begin to improve in the second half, and that’s going to be from both the benefit of the recent increase in rates and its impact on -- from both the benefit of the recent increase in rates and its impact on refinancing activity. But also importantly, because the farther into the year that we progress, the more of the business that we wrote last year comes into the calculation because it’s a 12-month persistency calculation. So it only includes business that was on our books 12 months ago when we report that number. That improvement that we expect to come through, we anticipate it will be modest at first before accelerating more fully as we actually roll past year end and into 2022 when the full effect of the record $62.7 billion of NIW that we wrote last year at exceptionally low note rates comes into the calculation for the first time.
Operator: Your next question is from the line of Rick Shane with JP Morgan.
Rick Shane: First, I’d love to just talk a little bit, Adam, you mentioned some of the different factors that you’ll consider as you think about the reserve rate going forward. When we look at the delinquencies on a dollar basis, they’re down. The reserve is up slightly this quarter and some of that makes sense given the aging of the loans that are in default. I’m curious how much latitude do you think those additional factors will give you as you move forward?
Adam Pollitzer: Yes, Rick, it’s a great question. And I would say it’s not so much about latitude, but candidly, this quarter more about a deliberate posture that we’ve taken. Our reserves do reflect, as they always do, our best estimate of ultimate claims exposure and in this instance, as of March 31. At this point, we spent a lot of time in the discussion earlier highlighting the broad optimism that we have about where the market, our business, and our credit performance are trending because in the macro, things are getting better, measurably better every day. Vaccines are paving the way for a broad reopening, the economy is rebounding sharply, and every day that goes by the housing market continues to be enormously resilient. Our default population is also declining at an accelerating pace. Our default inventory was down 9.2% from December 31 to March 31. And it just declined by 9.3% in the month of April alone. But as far as our reserving posture, we have decided to anchor more to our downside scenarios, not necessarily accounting for the prospect of additional assistance that may be offered to borrowers beyond forbearance at all, and embedding a more muted assumption for house price appreciation over the next several years, as we set those reserves. And we think that’s appropriate to be broadly optimistic in our outlook for the business overall and the decisions that we’re making, but still to anchor as a reserving matter more to the downside because of the way that we, as an MI company, establish our reserves. We’re not a bank. We don’t establish a bank like Cecil reserve for the entirety of the loan portfolio. It’s only for the small subset of the loans that are in default in our portfolio that we’re establishing a reserve for. And so in a unique environment like we have now, like the pandemic presents, we’re comfortable, if you will, living with a little bit of that duality of broad optimism, but also anchored to a downside for purposes of reserves. We’re going to see where things develop through the course of the year to continue to assess that posture. We want to see what happens as we get out into the back end of the year after the current forbearance programs expire. And those will be items that we look for to consider whether or not that deliberately conservative posture should be moderated.
Rick Shane: Got it. Look, I appreciate the answer and I think one of the things that is different to your point is that versus Cecil, there is less of an economic factor influence. It really is more specific to the loans that are in default and the aging of those loans, regardless of whether or not they are likely to cure becomes more dispositive in the short term.
Adam Pollitzer: That’s right.
Operator: Your next question is from the line of Mark Hughes with Truist.
Mark Hughes: I think you may have just addressed this in broad strokes, but looking at the current year claims number, but $10.6 million of meaningfully on a sequential basis, surely the portfolio is bigger and you’re being conservative, but that seems like a meaningful jump. I’m just curious on the drivers of that.
Adam Pollitzer: Yes. And Mark, it’s a great question. And in fact, we provided some additional footnoting this quarter to help highlight one interesting dynamic that really only emerges in the first quarter for us. And it emerges in a more significant way this year than in years past given the size of the default population. We established net case reserves of $5.3 million for the 1,767 new defaults that came through in Q1. We also established an additional $5.3 million of net IBNR reserves during the period, but the amount that shows in the current period row for our IBNR reserves isn’t calculated based solely on the Q1 defaults. It’s calculated based on the entirety of our default population and case reserve position, inclusive of prior period case reserves that are carried at March 31. And so that dynamic skews the optics of the reserve role table, but you can largely normalize for that if you simply subtract $5 million of that $5.3 million of IBNR reserve that was established in Q1 from the current period line. And if you add it back in to the prior period line, that will give you a more normalized view. And that normalized view yields about a five and a half million of current period reserves and about $500,000 of favorable development on prior period defaults. And that’s how you get to our $5 million of net claims expense incurred in Q1.
Mark Hughes: That’s very helpful. And then Brad, your point about the government putting private capital in front of the taxpayer money in order to absorb risk, any meaningful things that -- any regulatory changes that you see emerging compared to what you might have spoken about a few months ago?
Brad Shuster: Yes, Mark. There’s obviously a lot being talked about with the new administration a lot of discussion about tax reform, both personal and business taxes. A lot of positive movement on the forbearance side and the extensions that were recently announced there. But basically, I think the environment’s very constructive. I think housing has really been a bright spot throughout the pandemic. And I’m sure that the new administration appreciates that and won’t be hasty in terms of doing anything to affect that negatively. So we just feel that the overall regulatory environment is good and likely to stay that way even though we’re coming up to a period when there could be some changes that could come to pass. So it’s constructive but too early to draw any long-term conclusions.
Operator: Your next question comes from the line of Randy Binner with B. Riley.
Randy Binner: Mostly asked and answered, but some persistency I’d just try a different way. Understanding that there’s an offset as persistency comes back and helps the model, there’s less volume. And so that would usually recover around now. It’s quite a bit lower than we thought in the quarter. And so the question is, is there maybe something different this time where you just have this really hot housing market, a function of a good economy or a dynamic in housing versus the economy we haven’t seen before where you just keep seeing more refi activity or more loan activity and persistency can stay low and volatile for a prolonged period of time? Is there a chance of that? Because if you try and draw the data points together, they’re still all over the place. So just wondering if there could be some different dynamic this time around.
Adam Pollitzer: Yes, it’s great. Randy, it’s a great question. We ask ourselves that as well, but I would call it, is there some type of a purgatory position where rates are high enough that it weighs on refinancing activity in a way that somehow doesn’t really slow the rate of turnover in the portfolio where we don’t get that balance to it. And the interesting piece for us is that while all of our business is incredibly high quality and it’s priced to achieve attractive risk adjusted returns, there’s somewhat of a bright line distinction between our pre-COVID and post-COVID business as a note rate and by extension as a refinancing matter. And that’s because the decline in interest rates and mortgage note rates at the onset of COVID was somewhat spectacular in its speed and its magnitude. Things pushed almost immediately. And that means that our pre-COVID book, which when we’re talking about it, we generally bucket that to include all business written on or before March 2020 and our post-COVID book, which would then be all the business that we’ve written on or after April 2020, have dramatically different underlying note rates. Our pre-COVID book carries a 4.17% weighted average note rate and our post-COVID book has a 2.97% underlying rate. And so in terms of the move that we’ve seen in the 30 year and its impact on refinancing activity, we expect that the recent increase in rates will have a profoundly positive impact on the persistency of our post-COVID production. It’s going to effectively lock in the significant majority of that book. And that’s critically important because that’s business that was originated in what we’ve consistently said is an environment where we had both record volume, but also record value of production. And whether the 30 year’s at 3%, 3.20%, 3.50% with an underlying 2.97% note rate supporting that book, that business is going to be locked in. On the flip side, our pre-COVID production at 4.17% isn’t dramatically, I’ll call it, more or less right for refinancing, whether you’re at 2.65%, 3%, 3.20%, 3.50%. And so we do expect that we will continue to see some amount of turnover in the portfolio. One, there’s natural life events that drive turnover, but two, because of that distinction in the different halves of the portfolio, for us at this point, though, a majority of our insurances force as of 3/31/21 was actually originated from April 1 of last year and forward. And so we will see still turnover in the portfolio unless we have a continued move higher in rates. That will still contribute some amount of cancellation earnings in a constructive way, but the most significant positive for us in the long-term is that the phenomenal business that we’ve originated over the last 12 months at record volume and record value is going to be locked in place. And that’s terrific for us.
Randy Binner: All right, that’s helpful. And then the re-insurance, the last one, it was another ILM, that’s excess of loss. So that would not affect the dynamic on that more recent vintage of the post-COVID book? Wouldn’t be any smaller, all things being equal from the ILM unless there was a large loss then, correct?
Adam Pollitzer: That’s right. And again, the ILMs are really elegant also because [indiscernible], they’re self amortizing that generally speaking as the underlying risk is running off, they amortize down in size and so the cost is calibrated to the size of the underlying reference tools. In instances where the underlying risk runs off slower, the ILM stay outstanding longer, which is also positive because then we get the mass capital relief that they provide. There’s no public basis risk that develops down the road. If you have ILMs running off too quickly relative to the risk, which could expose you from a capital risk standpoint. That’s not how they’re built.
Operator: Your next question comes from the line of Ryan Gilbert with BTIG.
Ryan Gilbert: I appreciate the detail that you provided on the call so far. My first question is on the -- I guess, cures in the quarter. It seems like there was a pretty measurable slowdown in both cures on an absolute basis and then the cure rate as well in one Q compared to the fourth quarter. And wondering if you could -- I guess just explore what you think what was happening in the first quarter and then how cures are trending so far in the second quarter, specifically in April.
Adam Pollitzer: Sure. yes. Look, I would say things are going to move from period to period. Borrowers are still facing stress. Those who are in still in default at this period of time, those who’ve been living, if you will, in forbearance for a longer period of time, it’s not surprising for us to see some of those older age defaults perhaps live longer on our books and the default population than we would otherwise expect outside of the pandemic. But overall we’re enormously encouraged. Again, I think I’ve referenced it earlier on the call. We had roughly a -- we’ll look at the total default inventory, as opposed to just isolating cures -- new defaults individually. When we look at the level of cure activity, overall, the decline in the default population of roughly 1100 over a three month period from December 31st through March 31st, and then look at roughly the same decline of a thousand loans from March to April, it’s really encouraging for us. And we’re hopeful that trend will continue. We do think that ultimately, as we said for some time, the overwhelming majority of borrowers who went into default as a result of COVID stress and took advantage of the forbearance programs and other assistance that was offered, will ultimately cure out and not necessarily migrate through to a claim for us.
Ryan Gilbert: Okay. And did the slowdown in cures influence your more conservative stance in the first quarter? I guess I’m asking because I agree with you that the macro trends are improving and it looks like the credit is getting better, but at the same time, your loss ratio is up over a hundred basis points, sequentially.
Adam Pollitzer: Yes.
Ryan Gilbert: This ratio is up over 100 basis points sequentially.
Adam Pollitzer: Yes, I would put that also -- I would calibrate that and put that in perspective. Our loss ratio of 4.7%.Up, yes, 100 basis points. But it’s still 4.7% relative to three and a half percent in Q4. And so I do think the absolute level there matters as much as the relative. But no, it didn’t influence our decision to be more or less conservative. Broadly speaking, what I would say is our goal was to maintain an equally conservative posture as we had in Q4. And to a degree, think about it this way. If your goal is somewhat to run in place, but the wind at your back picks up speed? You need to dig in your heels a little bit deeper in terms of the conservatism that we would embed in some of those assumptions around frame rates and the like. And so that’s what came through. It’s really independent from a movement in cure activity or cure rate.
Ryan Gilbert: Okay, got it. And second question is on NIW. I’m wondering if you can quantify the impact that opening 24 new lenders in the quarter had on your NIW growth. And if you think going forward, your ability to add new lenders to your business can offset some of the headwinds from a slowdown in refinancing volume.
Claudia Merkle: Sure. Look, we have been consistent in adding and activating new lenders quarter over quarter. It’s been a focus for us. As a matter of fact, one of the things that we can do is even go deeper beyond a top 200 type of strategy, because we’ve got the technology at our back if you will. But all of our activations is what is really -- and quite frankly, all of the diversification of all the lenders that we have today is really what’s the basis of this success. Because in order to be able to use technology, use the digital market and gain those strong insurance in force is through the activated customers. So we constantly are driving though to what MI opportunities are the largest opportunities for us? And we see that continuing. There’s still opportunity out there for us, it’s just a matter of priority, and we continue to grow on that. And I missed your other question about the refinance piece, is that just asking if it would balance out the refi volume?
Ryan Gilbert: My question was whether you think that the new lenders you’ve opened in the quarter, and that you can likely. I’m assuming that you’re planning on opening more lenders throughout the course of the year, if that can help offset some of the headwinds that you were expecting from the refinance volume.
Claudia Merkle: Yes, sure. Things will shift quarter on quarter, but in general that’s the goal. I think the refi activity, we are going to see quite a slow down there. We’ve seen in the applications due to the higher interest rates. Also on the purchase side, you have the availability issue. We had also a strong April, so we do see that we will continue the success, it’s just a matter of to what degree because of the quarter-over-quarter dynamics. And refis won’t make a difference.
Operator: And your final question is from the line of Phil Stefano with Deutsche Bank.
Phil Stefano: I’m going to ask a follow-up on the NIW volume. I guess in my mind as we move to digitization and comparative raters, this would translate to a best execution market where price wins. I guess it feels like a response to an earlier question, the comment that was -- there’s been a rate-able push for new business, which I guess is a bit surprising. So I was hoping you could comment on that. And it gives the second part of this question is -- look, it’s still feels like there was a pop in new business this quarter. Is there anything you’d point to as an inflection or a change in the digitization that made it more apparent this quarter than what we’ve seen over the past couple?
Adam Pollitzer: So let me clarify one item in your question, and then Claudia will lay in. The comment earlier about a drive towards rate-able share is not a rate-able push. It’s not a strategy move on our end, that’s not what was said. What was said is that the tools that lenders are using hastens a shift in industry share towards a rate-able outcome. It’s not necessarily a broad push, it’s a dynamic that’s happening by virtue of the tools that lenders have started to adopt.
Claudia Merkle: Yes. And as far as just the drivers. Remember, this digital evolution that came to fruition really was around COVID. And so you get that dynamic where if you’re activated with a customer, and you’re now sitting at home and you don’t have any of the outside forces of people coming in and out of your office? You’re looking at a comparison tool, and that does shift. It gets us quickly on the map if you will, so that was a big driver. But really, it’s about the fact that we had to build the base. The fact that we have 1,200 active lenders, that broadly diverse customer base, it’s significant for us, it’s what we’ve been hoping for. As I mentioned, the other driver. When we think about volume is, we did choose to prudently layer that modest amount of incremental risk into the portfolio. It was the right time, and still maintain our high integrity of our quality. So yes, it’s a combination of years in the making and having strong customer activation momentum. The acceleration of the digital evolution really did help us, it was a significant boost. Some layering in of modest incremental on the risk, and this just came all together very nicely, so we’re very proud of our success.
Phil Stefano: All right, I think that makes sense. If I understand, I’m going to ask a question about the ILN just to switch gears. If I understand the cadence of this correctly, the latest ILN closed -- the business went through March 31, and it was end of April the transaction happened.
Adam Pollitzer: Yes, I’d say it’s a little bit earlier than that. So we were in the market marketing that transaction as early as April 8, 9 time frame. It’s like a bond offering or other capital issuance, where you price the deal, it’s allocated and then it takes about two weeks to legally close. So it’s even a more compressed timeline. We closed the month, and we’re in the market and out of the market with a deal about 10 days later. So 10, 12 days later.
Phil Stefano: So it feels like that the timeline from the month closing until you can be out and marketing the deal has shortened pretty significantly. What is driving that? Because that to me is fairly significant in that the warehousing risk that we’ve seen before with these ILNs, it feels like it’s shrinking as well.
Adam Pollitzer: Yes. So it’s a great point Phil, it’s something that we’re really focused on that we’ve been focused on for quite some time. I don’t actually know that others follow this same path. I don’t believe that most other ILN issuers have been able to sandwich, I’ll call it the transaction issuance and execution, directly against the month if you will in which the portfolios have closed. Not that there’s an enormous amount of lag, but I think others, there’s actually some degree of lag that doesn’t exist for us. It’s not to say that others couldn’t adopt our posture. But one of the reasons that we like it is exactly for the reason you’ve highlighted. We’re able to get out and reduce really our exposure, both from a warehousing standpoint and just generally speaking from a market execution standpoint. There’s less time to develop and elapse for something to turn, and so that’s going to be our cadence. That’s candidly been our cadence for quite some time now. Our last deal that we completed in October of last year covered risks that we originated from April 1 of ‘20 through September 30, so it was the same exact rhythm where we really sandwich the issuance right up against the close, if you will of the reference pool.
Phil Stefano: And is 5 to 6 months a big enough of a reference pool to get you the scale that you need for the ILN transactions to be attractive?
Adam Pollitzer: Yes. This deal was $367 million size, the transaction that we did before that was $242 million in size, so there was some latitude there. There are also some other dynamics at play in terms of the diligence that the underwriters have to do, they actually have to have loan files in hand on a large enough portion of the underlying reference pool. Probably the absolute shortest timeframe that you could see for issuance is five months probably now. So for us, about a 6-month issuance cadence makes sense, given where our volume is and some of the other aspects of just what it takes to bring these deals to market.
Phil Stefano: Okay. The last one I have for you is, I’m thinking about a potential change in the US corporate tax rate. My assumption is that we’ll just get a change in the risk-based pricing engine that dials the pricing up to account for this. Is it as simple as that? Or maybe you could talk to me about the dynamics around that.
Adam Pollitzer: Yes. Look, I think you’ve hit the nail on the head. That certainly with the prospect of tax reform, pricing comes to mind because we price to achieve an after tax risk adjusted return. And with an increase in tax rate, it would have an impact on our expected after tax return. And we have the ability to do that on an overnight basis in rate GPS. But as to what ultimately comes through, I’ll say it’s just too early for us to offer any specifics. We’d actually need to see what happens with any new tax legislation, including I think importantly how reform does or does not level the playing field between US and offshore participants. And then anything else that happens, either embedded in that bill or more broadly from a risk and capital requirements standpoint. And we would think it’s appropriate, we’re pricing to an after tax level. We think it would be appropriate to drive a price increase through, but there’s some other factors that play that we would also need to see how they ultimately pan out.
Phil Stefano: And one more quick follow-up. When you think about the mechanics of this, do you use drive through as much as you can? Do you dial it up slowly to see how the competitive landscape unfolds? What is the strategy behind that change?
Adam Pollitzer: I would say right now, tax reform is something that’s talked about but there’s no legislation that’s being considered actively. Things will continue to evolve. We need to see what happens with the replacement of [indiscernible], and what the contours of the shield provisions ultimately look like. So as to a strategy response to legislation, it’s just far too early for us to map something out.
Operator: I will now turn the call back to management for closing remarks.
Claudia Merkle: Thank you again for joining us. We will be participating in virtual investor conferences hosted by Truest on May 25, KBW on May 27 and Deutsche Bank on June 2. We look forward to seeing you at one of these events, and hope all of you are staying safe and healthy.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation and have a wonderful day. You may all disconnect.